Operator: Hello ladies and gentlemen, and welcome to participate in IT Tech Packaging's Third Quarter 2020 earnings conference call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging's Chairman and Chief Executive Officer and Ms. Jing Hao, the Company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its third quarter 2020 financial results via press release yesterday, which can be found on the Company's website at www.itpackaging.cn. First, Mr. Liu will brief you on the Company's key operational highlights over the third quarter 2020 and then Ms. Hao will review the Company's financial results. Before we start, I would like to draw your attention to our Safe Harbor Statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in its announcement are forward-looking statements, including but not limited to anticipated revenues from the corrugating medium paper, tissue paper, offset printing paper and face mask business segments, the actions and initiatives of current and potential competitors, the Company's ability to introduce new products, the Company's ability to implement capacity expansion, market acceptance of new products, general economic and business conditions, and ability to attract or retain qualified senior management personnel and research and development staff, and other risks detailed in the Company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the Company and the industry. The Company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectation except as may be required by law. Although the Company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that this expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks and it is now available for download from the Company's website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measure; or EBITDA; or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliations of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in US dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by Hebe Xu from EverGreen Investor Relations. Mrs. Xu, please go ahead.
Zhenyong Liu: Thank you, operator, and good morning everyone. Thanks for joining our third quarter 2020 earnings conference call. We continued to make improvements in sales volume for this quarter as our paper products business, along with the whole industry, recovered from the pandemic. Our total revenue increased to $33.4 million and our tissue paper products grew 53.4% in revenue with total sales volume of 74,126 tonnes for this quarter. Sales volumes for CMPs and offset printing paper continued quarter-on-quarter growth and rebounded to the same level as last year. Our ASPs recording a 10.4% sequential increase from Q2 2020, experienced slight decreases compared to the Q3 2019. The Chinese government updated the Ban on Free Plastic Bags in 2020 and as the specific restrictions are implemented nationwide, paper packing products are expected to become the main substitute of plastic packages under the requirements, involving sectors such as catering taking out, supermarket retailing, logistics and express delivery. According to Huachuang Securities' market analysis on substitute demand for cardboard paper in the aforementioned areas, the market demand expected to be 4.91 million tonnes. As such, the Company will take full advantage of the market opportunities brought by the substitute demand for paper packages. Now, I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the third quarter financial results. Her comments will be delivered in English by my colleague, Janice Wang. Janice, please go ahead.
Jing Hao: Thanks, Hebe, and thanks everyone for being on the call. Next, on behalf of the management team, I will summarize some key financial results for the third quarter of 2020. Also, I will occasionally refer to specific production lines associated with various products. I will make clear which products I am referring to. For reference, the numbering system for our production lines is provided on Slide number 18. Now let's look at our financial performance for the third quarter of 2020. Please turn to Slide number 7. For third quarter of 2020, total revenue increased to 1.3% to $33.4 million, due to the increase in sales volume of tissue paper products, CMP and face mask products. Turning to Slide 8. For the third quarter of 2020, the CMP segment, including both regular CMP and light weight CMP, generated revenue of $24.6 million, representing 73.8% of total revenue. $19.6 million of revenue was from our regular CMP products, and $5.1 million was from light weight CMP. CMP segment volume slightly increased by 1.3% to 60,991 tonnes, of which 48,107 tonnes were regular CMP and 12,884 tonnes were light weight CMP. Average selling price, or ASP, for regular CMP slightly decreased by 0.3% to $406 per tonne, and ASP for light weight CMP was equal to $394 per tonne. Turning to Slide 9. For the third quarter of 2020, the offset printing paper generated revenue of $6.1 million, decreased by $0.9 million, or 12.9% from the same period of last year. The offset printing paper volume slightly increased by 0.8% to 10,280 tonnes. ASP for offset printing paper decreased by 13.6% to $596 per tonne. Turning to Slide 10. Tissue paper products generated revenue of $2.4 million, increased by $0.8 million, or 53.4%. This resulted from sales of 2,855 tonnes tissue paper products with a 55.2% increase, at an ASP of $834 per tonne with a decrease of 1.1%. Turning to Slide 11. We sold 3,576,000 pieces of face masks and generated revenue of $0.2 million from selling face masks for the third quarter 2020. Slide number 12 summarizes the changes in our revenue mix. For the third quarter of 2020, total cost of sales increased by $3.2 million to $30.8 million, leading to total gross profit of $2.6 million, 52.2% decrease from the gross profit of $5.4 million for the same period of last year. And overall gross margin of 7.7% for the third quarter of 2020. For the third quarter of 2020, SG&A expenses increased by 18.1% to $2.4 million, and income from operations were $0.2 million, compared to income from operations of $3.3 million for the same period of last year. Operating margin was 0.5%, compared to operating margin of 10.2% for the same period of last year. For the third quarter of 2020, net loss was $0.5 million, resulting in a net loss of $0.02 per basic and diluted share. This compared to a net income of $2.3 million, or net income of $0.11 per basic and diluted share for the same period of last year. For the third quarter of 2020, earnings before interest, taxes, depreciation and amortization decreased by $3.5 million, to $3.6 million, from $7.1 million for the same period of last year. Now, shifting gear to year-to-date financial results. For the nine months ended September 30, 2020, total revenue decreased 18.5% to $68.5 million as a result of decrease in sales volume of Regular CMP, offset printing paper combined with decrease in ASPs over all paper products categories. For the nine months ended September 30, 2020, the CMP segment including both regular and light weight CMP generated revenue of $54.2 million, representing 79.2% of total revenue. $42.6 million in revenue was from our regular CMP products, and $11.6 million was from light weight CMP. Volume for the CMP segment decreased by 9.9% to 139,258 tonnes, of which 108,874 tonnes were regular CMP, and 30,384 tonnes were light weight CMP. ASP for regular CMP decreased by 9.1% to $392 per tonne, while ASP for light weight CMP decreased by 8.6% to $382 per tonne. For the nine months ended September 30, 2020, our offset printing paper segment generated revenue of $7.4 million. We shipped 12,463 tonnes of offset printing paper for the nine months ended September 30, 2020, and a decrease of 33.6% from the same period last year. ASP for offset printing paper decreased by 16.2% to $593 per tonne. For the nine months ended September 30, 2020, tissue paper products generated revenue of $5.8 million, increased by $1.2 million, or 25.3%. This resulted from sales of 6,923 tonnes tissue paper products with a 47.4% increase, at an ASP of $833 per tonne with a decrease of 14.9%. For the nine months ended September 30, 2020, face masks generated revenue of $1.1 million with sales volume of 9,856,000 pieces of face masks. For the nine months ended September 30, 2020, total cost of sales decreased by $12.4 million to $63.5 million, leading to total gross profit of $5 million and a decrease of 38.7% from last year. Overall, gross margin of 7.2% reflects an decrease of 2.4 percentage points from last year. For the nine months ended September 30, 2020, SG&A expenses were $8.4 million, compared to $7.4 million for the same period of last year. For the nine months ended September 30, 2020, income from operations decreased from $0.7 million to negative $3.5 million. Operating loss margin was 5.1%, compared to operating margin of 0.8% for the same period of last year. For the nine months ended September 30, 2020, net loss was $3.9 million, or $0.15 loss per basic and diluted share, compared to net income of $0.07 million, or earnings of $0.003 per basic and diluted share for the same period of last year. For the nine months ended September 30, 2020, earnings before interest, taxes, depreciation and amortization decreased from $10.7 million to $7.2 million for the same period of last year. Moving to slide 19 and 20, let's look at our balance sheet and liquidity. As of September 30, 2020, the Company had cash and bank balances, short-term debt including bank loans, current portion of long-term loans from credit union and related party loans, and long-term debt including loans from credit union of $8.2 million, $10.8 million and $5.4 million respectively, compared to $5.8 million, $8.3 million and $7.4 million respectively at the end of 2019. Net accounts receivable was $3.5 million as of September 30, 2020, compared to $3.1 million as of December 31, 2019. Net inventory was $8.6 million as of September 30, 2020, compared to $1.6 million at the end of 2019. As of September 30, 2020, the Company had current assets of $30.4 million and current liabilities of $16.9 million, resulting in a working capital of $13.6 million. This was compared to current assets of $24 million and current liabilities of $16.8 million, resulting in a working capital of $7.2 million at the end of 2019. Net cash provided by operating activities was $2.4 million for the first nine months of 2020, compared to net cash used in operating activities of $4.6 million for the same period of last year. Net cash used in investing activities was $2.6 million for the first nine months of 2020, compared to $6.5 million for the same period of last year. Net cash provided by financing activities was $2.2 million for the first nine months of 2020, compared to net cash used in financing activities of $5.2 million for the same period of last year. We received several questions about our operations and third quarter results from our investors. Now the management is answering these questions as follow. Number 1 question. What is the status of the 60% investment ITP was planning to make in Chinese Intelligent Healthcare IT Solution Provider? To this question -- Management responds to this question as follow. The Company is implementing an evaluation of the half-year financial results of the target company as furthering negotiation with shareholders. We expect to close on the acquisition by the end of this December. Question number 2. How likely is ITP able to drive down their raw materials costs with new buying strategies? The Management responds to this question as follow. The company is actively diversifying its source of raw materials and establishing long-term collaborations to secure more favorable price and payment terms from suppliers. If you have any other questions, please contact us through email at IR@itpackaging.cn. Management will respond to your questions through emails as soon as possible. Operator, please go ahead. Operator?
Operator: I beg your pardon. Can you repeat that, please?
Jing Hao: Operator, please go ahead.
Operator: Do you want to conclude the call, please?
Jing Hao: Yes, yes. Currently, we're not going to have Q&A session, so we're going to conclude the remarks. Thanks.
Operator: Certainly. Ladies and gentlemen, you may now disconnect your lines. Thank you for your participation.
End of Q&A: